Operator: Good morning, everyone, and welcome to the Monro Muffler Brake fourth quarter fiscal year 2008 conference call. At this time we are in a listen-only mode and later we will conduct a question-and-answer session and instructions will follow at that time. If anyone should require operator assistance during the call, please press the * followed by the 0 on your touchtone phone. As a reminder ladies and gentlemen this call is being recorded and may not be reproduced in whole or in part without permission from the company. I would now like to introduce Ms. Karen Barbara of FD.
Karen Barbara: Hello everyone, and thank you for joining us on this morning’s call. I would just like to remind you that on this morning’s call management may reiterate forward-looking statements made in today’s release. In accordance with the Safe Harbor provisions of the Private Securities Litigation and Reform Act of 1995, I would like to call your attention to the risks and uncertainties related to these statements which are now more fully described in the press release and in the company’s filing with the SEC. Risks and uncertainties include but are not necessarily limited to uncertainties affecting retail generally, consumer confidence, and demand for auto repairs. Risks related to related endeavors including sensitivities plus interest rates, dependence on and competition within the primary markets which the company’s stores are located, and the need and costs associated with store renovations and other capital expenditures. The company undertakes no obligation to release publicly any revisions to these forward-looking statements that may be made to reflect events and circumstances after the date thereof or to reflect the occurrence of unanticipated events. The inclusion of any statement in this call does not constitute any admission by Monro or any other person that the events or circumstances described in this statement are material. Joining us for this morning’s call from management are Bob Gross, Chairman and CEO; and Cathy D’Amico, CFO. With these formalities out of the way, I would like to turn the call over to Rob Gross.
Robert Gross: Good morning and thank you for joining us on today’s call. We are pleased that you are with us to discuss our fourth quarter 2008 performance. I will also provide you with an update on our business as well as our outlook for the first quarter of fiscal year 2009. I will then turn the call over to Cathy D’Amico, our CFO, who will provide additional details on our financial results. Our performance for much of fiscal year 2008 was impacted by a challenging economy and weak consumer confidence. As a result our customers delayed big-ticket purchases and we experienced declines in store traffic of approximately 3.5% adjusted for days. However, our performance did improve at various points throughout the year during times when external pressures may have temporarily lessened or our customers could no longer postpone needed repairs and returned to us as their trusted provider. Also, because we own and operate all our stores, and are committed to being a low-cost operator, we are well positioned to produce solid results in both strong and weak economies and challenging times and are able to out-perform many of our competitors. Now I would like to review highlights from both the quarter and the year starting with the fourth quarter. I should begin my reminding you that the fourth quarter of fiscal year 2007 was our best ever fourth quarter in both sales and earnings with comps of 7.3% so we were up against a difficult comparison. Additionally, we had one less selling week in the fourth quarter of fiscal 2008 than in 07’, which impacts year-over-year comparisons of our sales results and leverage of fixed operating costs including distribution and occupancy costs that are included in cost-of-sales. Net income for the fourth quarter was $1.9 million; and earnings per share were $.10 compared with $.18 for the fourth quarter of last year. These fiscal 2008 results are net of a charge of approximately $900,000 or $.03 per share for the settlement of a previously disclosed class action wage and hour lawsuit related to headquarters personnel. Quarterly comparable store sales grew .8% adjusted for days, and declined 5.3% on a reported basis due to one less selling week in 2008. We generated total sales of $107.2 million compared to $107.7 million for the prior year fourth quarter. Total sales included an increase from new stores of $5.3 million, $4.8 million of which was generated from the nineteen former Craven and Valley Forge stores we acquired in July, and $700,000 from the seven Broad- Elm Group stores acquired in January, 2008. Comparable store sales for our ProCare stores decreased 6.8% for the reported period, and .8% adjusted for days. As we have previously mentioned, we will begin to include Pro Care sales in our report in fiscal year 2009. For the year, net income was $21.9 million and earnings-per-share were a $1.00 compared with $.97 for fiscal year 2007. Excluding the impact of the aforementioned lawsuit settlement charge, earnings per share for 2008 were $1.03 and at the low end of the company’s previously announced EPS range. Comparable store sales grew 3.1% adjusted for days, and 1.2% on a reported basis. We achieved a total sales increase for the year of 5.3% to $439.4 million compared to $417.2 million for the prior year. Our major sales categories for the fourth quarter included brakes, which comprised 21% of our mix; tires, which comprised 26%; and maintenance services which comprised 32% of our mix. On an adjusted-for- days basis fourth quarter comparable store sales for brakes increased approximately 7%, which is ahead of industry trends and helped us to drive up our average ticket. We are particularly pleased with our comparable store sales increase for the brake category and is one of our larger and higher margin categories. Further, we are pleased that customers who may have deferred the purchase of brakes for some time increasingly sought our service when they could no longer delay the purchase. With regard to other product categories for the fourth quarter, comparable store sales adjusted for days for our mid-margin maintenance service category increased approximately 1%. Lower margin tires were flat while our higher margin alignment category, which is closely associated with tire sales, was down 3% comp versus a 33% increase in the fourth quarter of last year. Finally, comparable store sales for exhaust were down approximately 3 % for the quarter. For the last ten years we have been able to raise our prices with little or no push-back from our customers because they trust us and perceive value. During the last three years we have raised prices in both March and September by 2% for an annual total of 4%. However, the last five years have seen 60% of the materials portion of our cost-of-goods, oil and tires, increase 50% and we have received multiple increases in both tire and oil costs during this calendar year. Therefore, our last price increase to our customers, effective in April 2008 was 5% and more recently we increased our oil change prices by $2 in most markets, in addition to the $2 increase last year. And what fun would a Monro conference call be without an update on our new performance of ProCare? Fiscal 2008 sales were $39 million. Comparable store sales were up 3.8% adjusted for days; gross profit percent was up 110 basis points; operating income was $1.4 million at 3.6% of sales, versus $500,000 and 1.4% of sales in 2007; and our pre-tax loss was $1.2 million this year, versus $1.8 million last year. April comps were up 9.7% this year; May up 5.3% month-to-date. Just for some perspective, including our two years of losses, cash investments for ProCare is $67,000 per bay, whereas the Mr. Tire acquisition was $158,000 per bay, and a Greenfield Service Store is $100,000 per bay. So if two years of under-performance were still at a 33% discount to new, but obviously still disappointed. I will now briefly update you on our strategy to grow both organically and through reasonably-priced acquisitions. We are pleased with the contributions of the acquisitions that we made during the fiscal year 2008. The integration of the nineteen Craven and Valley Forge tire stores that we acquired in July of 2007 are proceeding as planned and essentially complete. Additionally, the integration of the more recently acquired Broad-Elm Group is going well and the business is contributing in line with expectations. We are excited about the significant increase in market share that we have gained in the Buffalo, NY area as a result of the purchase of this business. We are planning for Broad-Elm’s re-Grand Opening as part of the Mr. Tire chain to take place in June. Separately, our strategic partnership with Auction Direct, USA is yielding the expected levels of incremental revenue. Turning to our long-term goals, a challenging macro-environment often creates opportunities for us. We find that during times when our smaller competitors are facing increasing difficulties, our low-cost operation provides us with a competitive advantage and greater opportunities for purchasing businesses at value prices. We are continuously reviewing potential targets that are for sale. As is usually the case price is the issue that has not yet been resolved. While our strong preference is to use our capital to grow the business through acquisition, we will not over-pay. Additionally, our board has shown a willingness to buy back stock should that become our best alternative. At our current stock price and interest rate a $30 million buy-back would be $.07 accretive. Turning to organic growth strategy, we made solid progress with our Black Gold program during the quarter and fiscal year. As we have mentioned, the goals of Black Gold program are to expand our market share and increase the sale of tires and services in our service stores by training our store sales personnel and to broaden the range of tires available for sale. During fiscal 2008, Black Gold stores out-performed non Black Gold service stores in tire unit sales, and more importantly, overall comparable store sales. Black Gold stores increased tire units and overall comp sales by 16% and 4.5% respectively versus 3% and 1.2% for non-Black Gold service stores. For fiscal year 2008 we set a goal of doubling the number of stores included in our Black Gold program to 120. We are pleased to say that we exceeded that goal and now have a total of 150 Black Gold stores. You may recall that we began our program in New York state and have since expanded it to include locations in Philadelphia, Pittsburgh, and Baltimore in order to make the most of the tire stores we have in those markets, including the Valley Forge locations acquired in July, 2007. Given the solid success of this program in increasing our market share and advancing our two store format strategy, we have decided to include twenty-five to fifty additional stores in our Black Gold program by the end of fiscal year 2009 and will focus our expansion in the Cleveland and Columbus areas where we have existing tire stores Beyond our Black Gold program, our marketing efforts also encompass a highly effective yet low-cost advertising campaign that bolsters our reputation as a trusted service provider for a wide range of automotive needs. Back in November of last year we tested several radio, print, and internet advertising initiatives in our high-density markets. Since we were satisfied with the results of our test we fully expanded the program during the spring of this year and have been very pleased with the programs positive impact on our ability to drive sales thus far, especially when taking into account the difficult market conditions, the fact that we raised our prices significantly, and advertising as a percentage of sales is still less than 4%. I would now like to briefly discuss our outlook for the first quarter in fiscal year 2009. First, we are encouraged by our solid start to fiscal 2009 and by our strong comparable store sales growth of 8% for April, and approximately 4.5% in May to date. Additionally, April traffic was up approximately 5.5% while May currently is up 2.4%. As I just mentioned, we believe that our effective advertising campaign is contributing to our growth as are our price increases. That said we remain cautious in our outlook for the first quarter in the year in light of the weak macro-conditions and continued cost pressures. Given these external pressures, we are continuing to seek opportunities to take cost out of the business even though we are already a low-cost operator. As we mentioned on our last call we aim to save approximately $1 million in largely back-office expenses during the fiscal year. We anticipate no impact to our customers or our ability to execute our business model as a result of these reductions. We expect the $1 million in cost savings to be realized in roughly equal increments over the four quarters of the fiscal year. Additionally, there is no impact on continuing costs from the wage and hour lawsuit that we just settled. Further, as I discussed earlier, we have raised our prices 5% in April versus our normal 2% April price increase to try and counteract the impact of oil and tire cost increases and cost-of-goods. While our next scheduled price increase will occur in September, we will continue to closely monitor the impact of commodity prices on our business and will evaluate additional price increases before our normally scheduled time. Before I turn the call over the Cathy, I just want to re-iterate our commitment to remaining a low-cost operator, which when combined with our strong reputation as a trusted service provider, has enabled us to weather this difficult economy and solidly positions us to extend our long-term growth trend. This completes my overview and now I would like to turn the call over to Cathy for a more detailed review of our financial results. Cathy?
Catherine D’Amico: Thanks, Rob, and good morning everyone. Starting with sales, Rob mentioned they decreased .5%, or $.5 million. Comparable store sales decreased $5 million, or 5.3% due to five less selling days in the quarter versus the prior year. There were actually 77 selling days in the quarter ended March, 2008, as compared to 82 selling days in the quarter ended March, 2007. Adjusted for days, comparable store sales increased by .08%. New stores, which are defined as stores opened after March of 2006, and which include ProCare stores acquired in fiscal year 07’, as well as the Valley Forge, Craven, and Broad-Elm stores acquired in fiscal year 08’, added $5.3 million in the quarter. The Valley Forge and Craven stores contributed $4.8 million of this increase, and Broad-Elm accounted for $700,000 of the increase. Sales in the ProCare stores decreased by approximately $700,000, or .08% on a comp-store basis adjusted for days. There was also a decrease in sales from closed stores of approximately $.8 million. This compares to a 7.3% increase in comparable store sales in the fourth quarter of the prior fiscal year. Year-to-date sales increased 5.3% or $22.2 million. Comparable store sales increased $4.3 million, and 1.2%, or 3.1% adjusted for days. There were 306 selling days in fiscal year 2008, as compared to 312 in fiscal year 2007. New stores, again stores opened after March 2006, added $21.3 million including $14.5 million from the former Craven, Valley Forge, and Broad-Elm tire stores and ProCare stores increased $3.5 million. On a comparable store basis ProCare increased 1.8%, or 3.8% adjusted for days. Partially offsetting these sales increases was the decrease in sales related to closed stores of approximately $4.2 million. For the year barter sales increased $.8 million. This compares to a comparable store sales increase of 3.2% for the year ended March, 2007. Gross profit at 37.3% for the fourth quarter ended March, 2008 decreased as a percent of sales compared to the same quarter of last year which showed a gross profit of 38%. The decline in gross profit as a percentage of sales is due to a couple of factors. The primary reason is the decreased leverage in distribution and occupancy costs included in costs of sales resulting from one less selling week in fiscal 2008 versus fiscal 2007. Adjusting for this factor gross profit would have been approximately .8% lower in the prior year quarter, or essentially flat with the fourth quarter of this fiscal year. Gross profits for the twelve months ended March 2008 declined slightly as a percent of sales from 39.9% to 39.7% of sales, primarily due to the decreased leverage and distribution and occupancy costs related to the loss of six selling days between the two fiscal years. Moving on to operating expenses; as we mentioned last quarter, you may have noticed that we have changed the presentation of this section of our P & L’s from last year in order to better conform with GAAP. We moved both amortization and gains and losses on property disposals from other income and expense to income from operations. In the past this section of the P & L only consisted of selling, general, and administrative expenses. That line still exists, but we have added the other two lines to arrive at total operating expenses. So focusing on SG & A expenses for the quarter ended March, 2008, it increased from 32% of sales to 34% of sales. This increase is primarily attributable to two factors: first, the decreased leverage in SG&A costs resulting from one less selling week in fiscal year 08’ versus fiscal year 07’. Without this extra week of sales in the prior year, SG&A would have been approximately 34% of sales or flat with this year. Additionally, the fourth quarter of fiscal year 08’ includes the settlement of the wage and hour lawsuit that Rob mentioned that we reached this past week, amounting to $.9 million, or .9% of sales. Factoring out the lawsuit and the extra week of sales this year, SG&A would have been down approximately a full percentage point from last year as we continue our focus on controlling costs and reducing expenses where we can in the areas of store support and administrative expenses. SG&A expenses for the year ended March, 2008 were 31.2% as compared to 30.3% for the prior year. Again, factoring out the lawsuit settlement and the extra week, SG&A would have been virtually flat at 31% of sales as compared to 30.9% last year. The other significant component of operating expense is the gain on assets. For the quarter ended March, 2008, this line increased .4% of sales to a credit of .8% versus a credit of 1.2% in the prior year quarter strictly as a function of lower gain on property disposals in the current year quarter as compared to the prior year. This was true for the full year also where this line was a credit of .4% of sales versus a credit of .7% as a percent of sales for the full year 2007. Moving on to interest expense, net interest expense for the quarter ended March, 2008 increased by $600,000 to $1.8 million, and .06% of sales to 1.7%. The weighted average depth for the quarter increased by approximately $61 million compared to last year primarily due to our stock buy back. This is partially offset by a decrease of approximately 200 basis points in the weighted average interest rate. Excluding capital leases, the weighted average interest rate decreased by approximately 300 basis points. For the full year, interest expense increased by .2% from the prior year to 1.3% as a percent of sales and $1.2 million. Weighted average depth for the year increased by approximately $18 million; the weighted average interest rate was relatively flat with the prior year. For income tax expense, the effective tax rate for the fourth quarter of fiscal 2008 and 2007 were 22.5% and 35% of pre-tax income respectively. In the fourth quarter of fiscal 2008 the company recorded a net benefit relating to the favorable settlement of older outstanding tax matters, partially offset by the true up of deferred taxes. Without these items, the effective tax rate in the fourth quarter of 2008 would have been 34.4%. For the full year 2008 and 2007 the effective tax rates were 34.8% and 35.8% respectively. The items I just mentioned reduce the effective tax rate by approximately .08% for the full year. Going forward for fiscal year 09’ we expect our tax rate to be at approximately 37.7% of pre-tax income. Other income for the fourth quarters of both years was flat as a percent of sales; for the full year other income increased $3.3 million as compared to fiscal 2007 primarily due to the write-off of the company’s investment in Strauss of $2.8 million in fiscal 2007. Also contributing to the increase was the company’s recognition of $300,000 of income in the current year in connection with the settlement of an outstanding legal claim with Strauss. Diluted earnings per share for the quarter ended March, 2008 were $.10 as compared to $.18 for the fourth quarter of fiscal 07’. For the full year ended March, 2008, diluted earnings-per-share increased 3% and were $1.00 or $1.03 before the lawsuit settlement as compared to $.97 for the year ended March, 2007. Moving on to the balance sheet; the balance sheet remains very strong. Our current ratio is 1.6 to 1.0 and comparable to last year at 1.5. Inventory is up $3.8 million from March 2007 due primarily to the addition of Broad-Elm, Valley Forge, and Craven stores, the addition of product to the ProCare stores to reduce outside purchases and the expansion of the tire assortment offered in all service stores. In addition, we continue efforts to improve stocking levels and mix of inventories to reduce outside purchases chain wide. However, we were able to keep trends flat with last year with our focus on reducing slower moving inventory such as exhaust and our interest in improving inventory turns in order to be able to more quickly recognize the cooperative advertising credits recorded under the new accounting rules. During fiscal 2008 we generated approximately $37 million of cash from operations and received $1.5 million from the exercise of stock-options and warrants. We spend $20 million to acquire Broad-Elm, Valley Forge, and Craven stores this year and paid approximately $5 million in dividends. We realized approximately $1 million from the sales of fixed assets and spent $21 million for CapEx. Depreciation and amortization totaled $20 million. For the year, we also spent $60 million to buy back our stock; our net borrowings on our revolver were approximately $67 million for the fiscal year with $30 million available today before the $75 million accordion feature that we have on our revolving credit agreement. With regard to that, we are currently finalizing a transaction with our lenders to move some of the $75 million of the accordion to the committed amount. As of last night, we had a commitment from out lenders for at least $38 million of the $75 million, bringing our total facility to $168 million, and our current availability to $68 million. Our debt to capital ratio was 42% at March, 2008, and we still have plenty of room under our covenants for further borrowing. We currently borrow at 75 basis points above LIBOR. This, combined with our strong balance sheet, well positions us to continue to buy attractively priced acquisitions as they become available. I also wanted to give you a little bit more on guidance for fiscal year 2009. Our earnings range is $1.08-$1.18 per share based on weighted average shares outstanding of $20.4 million. Comparable store sales are expected to increase between 2%-4%. As a reminder, the ProCare stores will be included in comparable store sales in fiscal 2009 for the first time. CapEx is expected to be approximately $22 million, including $7 million for new stores. Approximately $14 million will be for maintenance CapEx. We expect depreciation to be approximately $20 million; free cash flow to be approximately $22-$24 million; and operating cash flow to be between $44 and $46 million. EBIDTA should be in the range of $62-$65 million as compared to $60 in fiscal year 2008. We expect operating income as a percent of sales to improve 50-100 basis points as compared to fiscal year 08’ which was 8.8%. This improvement will come primarily from gross profits. Interest expense should be flat for the percent of sales in fiscal year 09’ as compared to fiscal year 08’. Our expected tax rate is 37.7%. This concludes my formal remarks on the financial statement. With that I will now turn the call over to the Operator for questions.
Operator: The first question comes from Tony Cristello, BB&T Capital Markets. Please go ahead.
Anthony Cristello- BB&T Capital Markets: Rob, when you look at sales trends, and obviously they have been strong over the last two months, and you noted the 5% increase in April so it seems like sales are being helped by price, but I am interested in what you are seeing on the traffic side. You said that April and May traffic has been up and I am assuming that it is up for the first time in awhile. Are those new customers, or existing customers that are coming back to perform maintenance that they have deferred? Can you give more color on what you are seeing?
Robert Gross: I think it is a combination of both. We were running mediocre numbers since July of last year. That is more than the normal deferral period of four to five months. What happens once you get beyond that, when people come back after that period they are customers that trust us because they are trying to defer the purchase? It ran the course of the normal oil change, they are back and they are buying potentially with bigger repairs. That being said, there are still long-term customers that are going to be walking into our stores today and deferring. But the normal deferral period is four to five months. Once you get beyond that, which we were in Q4, you then start to get new customers still deferring and old customers coming back. With April and May, to your point, we haven’t seen store traffic increases, certainly haven’t seen a +5, and +2.5 in May is very unusual also, so whether it is the digital advertising, the internet, some of the additional direct mail we are running, or some radio tests that we ran successfully in November, which we said we would put in our quiver of arrows to bring out in April or May, obviously have helped drive the traffic. The price increases people understand and you put that together and at least for a two month period whether it is an aberration or a trend we look pretty smart right now, and are pretty encouraged. If you would have asked me in March what I thought April through June would have brought I would probably have fallen somewhere around the +1 or +2 comp numbers. Hopefully it continues; in Q1 we are up against our toughest comp number, we are doing this against a +6 last year and once we again into the summer driving months in the second half of the year we are up against some really soft numbers. Hopefully it ends up well, but obviously I continue to be concerned with some record low consumer confidence numbers, $4 gas, foreclosures, and anything else that someone like me can be concerned about.
Anthony Cristello- BB&T Capital Markets: You talked about what you thought costs would look like back in March. How did the quarter progress, January, February, March, from a same- store sales standpoint?
Robert Gross: January was down 2.2%; February was up 1.5%; March, adjusted for days was up 3.7%. So for the quarter we were at .8%
Anthony Cristello-BB&T Capital Markets: Catherine, do you have the days for the full year of how they will match up year-over-year?
Catherine D’Amico: For 09’ versus 08’? It will be 306 days again and every quarter is exactly the same, so it makes life a little easier.
Anthony Cristello- BB&T Capital Markets: I think in the September quarter of last year you had one less day as well. Is that correct?
Catherine D’Amico: The December quarter actually.
Anthony Cristello- BB&T Capital Markets: One last question. Rob, from a seasonality standpoint is there anything that is done differently in the months of April, May and June as people prepare for summer travel, that if they are going to travel less, which category would that impact the most for you?
Robert Gross: We hear a lot of folks in our industry talking about the $4 gas tied into the miles driven. March was the worst miles driven month, I think it was down 4.3%. Last year miles driven in total was down 2% the first time since 1980. While I subscribe to people not liking $4 gas and cutting down on their driving, to put it in perspective I think it is in total a non-event for the summer. While consumer confidence prevents people from making purchases, the average driver is reducing their driving by 7%. It is less than that because there are more cars on the road but the average individual is driving 7% less on an average miles-driven per year of 13,000 miles. That is 800 miles a year. That is effectively one fourth or one fifth of an oil change. That is 800 miles off 50-60,000 before they get their shocks or struts replaced; brakes, 20-30,000 miles. So in the realm of actually negatively impacting our business and leading into the summer driving months you are probably not going to hear that as one of our excuses. We might try to pull everything else out, but that is not a reason for our business to fall out of bed. If anything, we probably think a more compelling thing that might be helping us is that new car sales being down, where you go from 17.5 million units per year to 15 million units a year, the key driver there is once someone decides not to buy a new car, they are not deferring one to two months the new car, they are saying that I am going to keep my old car for a year. It usually needs repairs, and they probably get the work done to have the old car carry them. We think that might be a trend. Albeit we are always seeing that March got a little better, April and May are great compared against tough numbers. I will retract all that when June turns into a +2.
Operator: Your next question comes from John Lawrence with Morgan Keegan.
John Lawrence- Morgan Keegan & Company, Inc.: Quickly, Rob to follow up a little bit. If you could talk about the mix of product you are seeing out there now. Whether it is the tire chain, the tires, specifically about Black Gold and how that process works as far as the training aspects and being able to get incremental sales. Can you talk about that a little more, and how much is really involved to roll it out to another group of stores?
Robert Gross: Certainly it is a mindset. It is training; it is pulling out exhaust; it is putting racking in; it is adding tire sales; it is getting the service stores to communicate with the tire stores and be cooperative in transferring the tires back and forth. You cannot underestimate the knowledge between being an order-taker for tires with one product line to being able to approach good/better/best with numerous product lines and do a better overall job with the customer.; more extensive than one paragraph that we might put in a press release or in a conference call script. That being said, you learn as you go which is why year one we had sixty stores, and year two we had fifty, and we will add another twenty-five to fifty but not before we continue to fine-tune what we are doing to make sure we are providing the best service for the customer and not hurting ourselves on margin. We are satisfied with what that brings to the table. In summary we said that our Black Gold stores for the year had 3.5% better comp than our non-Black Gold stores so we are encouraged that we are not trading off business, which is always your concern when you layer on additional things for a store manager and a store to execute, that they trade off tire sales for brake sales. Brake sales are performing beautifully and they guys in the field are doing a great job with our “brakes forever” campaign and certainly we feel we are picking up our share there as well as on the tire front delivering something to the customer that we didn’t before. It keeps them in our store for all their services and delivering at a high level; and most importantly creating incremental business for out stores, not trading off tires for brakes, or other categories.
John Lawrence- Morgan, Keegan & Company, Inc.: Thanks for that update. And secondly, you talked about how much pressure the cost has been, the raw material costs on the business. Walk us through the last couple of year, which have been tough in that category. What are you seeing today? Is it changing as oil prices continue to go up, or has it moderated at all with the price increases?
Robert Gross: I think a good rule of thumb in those years, our own manufacturers and our vendors should feel good; every price increase is always passed along quicker than if it goes the other way and they reduce their prices to us. Which is incorporated in all of our estimates another 8% on tires pretty much across the board in June. We have already seen oil, and as I said, we have incorporated both of those increases as well as something further, and I am not trying to help my vendors in charging me more down the road, but we are in a position where with the price increase to our customers we made in April that I think they understand with all these raw materials charges affecting every part of their lives, that the services they buy from us are typically every two or three years and they are not as apt to object to what we try and recoup from them but on a cost to goods side we will continue to see pressure under our estimation included in our numbers all year across the board on cost of goods, and we are committed to do a better job of recapturing it; maybe then we have the last couple of years as it started to spike up similar to health insurance.
Operator: Your next question comes from Scott Stember with Sidoti & Company. Please go ahead.
Scott Stember- Sidoti & Company: Rob, can you give the operating contribution from ProCare again in 2008 versus 2007?
Robert Gross: Operating income from ProCare was $1.4 million, or 3.6% of sales in 08’. It was $500,000 or 1.4% of sales in 07’.
Scott Stember- Sidoti & Company: And in your guidance for 2009, what are you baking in there as far as operating contribution? Roughly speaking.
Robert Gross: I wish I could get this number right at some point. We are certainly, with April running a 9.7 comp increase, and May 5.5 up, doing better than the core company, we are budgeting them to at some point run a consistent +10 comp and deliver the kind of returns that we would have expected to get last year. We are conservative in our budgeted numbers, but if I said we would hope to gain $.05 accretive, that would be great. I would still be disappointed with that number, that being said, if $.05 turns into $.02 accretive, that wouldn’t surprise me either. We are working hard on it, and there is additional benefits we get from those stores because without turning a lot of those ProCare stores into tire stores it wouldn’t have afforded us the opportunity to roll Black Gold out in places like Pittsburgh, and this year Cleveland and Columbus. It makes distribution more efficient, but at this juncture I continue to be disappointed with our performance. It is getting better, it is not where it should be. It is a broken record and we will fix it as quick as possible.
Scott Stember- Sidoti & Company: And as far as your plan as to what to do with free cash flow, excluding any acquisitions that might take place, would you talk about your plans to repay debt?
Robert Gross: Our plans are to repay debt. The way I would look at the next year, is we would fully expect in this marketplace over the next six months to either close or announce an acquisition. The definition of announcing an acquisition for us would be that we agreed to the price finally and just have due diligence to work through. Should you not hear anything by the end of Q2 along those lines, and stock performance continues to wane, and interest rates are where they are, we might address another stock buy-back with the understanding that over the last six months we probably would have generated free cash flow of over $20 million that we would have already paid down debt with. That being said, in the short term if we don’t do an acquisition you will see every dollar of cash flow for the next six months go to pay down debt.
Scott Stember- Sidoti & Company: Last question: this might be a little more granular on the electronic advertising. Compared to the way that you used to do advertising, and maybe just talk about any cost saving associated with doing it the new way.
Robert Gross: Our advertising last year was about 3.3% of sales. We are bringing it up to 3.7% of sales, adding programs which we will be running as long as they work. One of those is digital advertising, internet advertising. Getting involved in some markets; buying keywords; doing various things in other markets. Getting involved and increasing the span of our direct mail drops. Until they stop working I would rather not get into a ton of detail beyond giving you the financial impact of the cost of the advertising; certainly you can see some of the sales numbers, the traffic numbers support that some semblance of it is working. But as long as I have something that is at least working temporarily I would rather not share it, if you can understand that.
Scott Stember- Sidoti & Company: What is the previous to this program? What is the most used form of advertising for Monro?
Robert Gross: Direct mail, and it will always continue to be direct mail. We think the systems that we have established not only create a better mousetrap from the standpoint of lower costs to goods because we have less buy-outs, our labor productivity which is up 45%, but significantly lets us be effective in advertising, pitching up 100-150 basis points as a percentage of sales versus most of our competitors. As we have said before, 80% of our advertising outside of the yellow pages is one-on-one direct mail. Even with some of these programs that we are talking about you are still probably looking at while maybe no 80%, never down to 50-60%. It will run somewhere in there.
Operator: Your next question comes from Cid Wilson from Kevin Dann & Partners. Go ahead, Sir.
Cid Wilson- Kevin Dann & Partners: My first question is a clean-up question. Your depreciation and amortization, was that about $5 million? Am I calculating that correctly?
Catherine D’Amico: For the quarter, yes.
Cid Wilson- Kevin Dann & Partners: Going a little deeper on brakes. Can you give us a sense of what you are seeing, what is going differently between you and Midas? Midas reported that their brake sales are down 9%; that is quite a contrast between your brake sales and theirs.
Robert Gross: It is difficult to say. They would probably say that the Northeast is doing better, and their northeast brake sales are better than the overall chain. I think that our $99 brakes forever campaign, our field people with the focus, are better than anyone out there, and when we put our mind to something, whether last year with alignments, and we ran up 30% comp.; whether it is the Black Gold program where there is always opportunity to improve but we rolled that out better. Whether it is the ‘brakes forever” campaign and executing it at store level, plus the years of building up trust and perceived value with our customers pays off in the business model of company-owned and operated stores. I think it is a lot of things, and our guys deserve a lot of credit for getting it right. Until next quarter when they run flat and I tell you how stupid they are!
Cid Wilson- Kevin Dann & Partners: My last question is: are you seeing any change in the average age of the vehicles that are being serviced? Are they getting newer, or any changes there?
Robert Gross: The overall data says that the average vehicles are getting older, 9.6 years versus 9.4 for light vehicles. But if the question relates to new car sales slowing up and is that driving it, maybe some of that was baked in last year but we wouldn’t have that close real time data to see it move. We can look at an annual basis and see it skew towards people holding their cars longer, a piece of that is certainly the economy; a piece of that is a positive macro trend of demographics and baby boomers’ children driving now and more cars per household works to the benefit of what we all do for a living.
Operator: Our next question comes from Tom Spiro, Spiro Capital Management, Inc.
Tom Spiro- Spiro Capital Management, Inc.: Question one is if new car sales weaken, have you seen or do you expect to see dealers become more aggressive at getting servicing business?
Robert Gross: I don’t know how much more aggressive they can become than they have over the years. I think they used to drive 70% of their income from new car sales, and 30% from repairs. The numbers I see now are 50/50 and certainly if you listen to the radio or watch TV you go through various fits and starts of the commercials they are running; half of them are for repairs. The inherent difficulty they have in competing with us is for a starting point you would have to drive by two of my locations to get to them, so it is convenient, and finally you are typically paying from 33-50% more to go to them. So they are more expensive and will always be because they pay more for parts; their fixed cost overhead is more expensive; their labor is more expensive yet no more qualified to do the type of high-velocity, low technical repairs that we do. Certainly for transmissions and front-engine work which we don’t do them, have the technical expertise where we don’t, but we don’t need to pay for knowledge; we pay for execution. So our labor productivity will always be better; our fixed cost structure will always be better; our advertising costs will always be better, and we will always be more convenient. That being said, if you track ten years going back, and ten years going forward, what it shows is that small, independent guys are going out of business and that share is being grabbed by the dealers doing a much more effective job as well as the repair specialists and tire stores doing a much more effective job. We are not so much battling each other anymore, we are battling for the share of the guys going out of business.
Tom Spiro- Spiro Capital Management, Inc.: Secondly, on acquisitions: Do you typically find that you are one of several buyers for a prospective deal? Are you the only guy, or how does that work?
Robert Gross: Over the last three years we have been the only guy on any deal we have done, or any deal we are waiting to do and the hold-up is not a motivated seller or someone who is fearful of giving us information. We have the information to make the decisions, the hold-up is similar to what you see in the real estate market now. We might have three to five properties on our desks that we are willing to pay a certain price for, and that is a fair price in today’s market but no one wants to take the hair cut that is representative of a tough economy. Their earnings are going down, their sales being challenged, their cost of goods going up, so we haven’t agreed to a price yet, but in every case where we are currently involved and anything we have accomplished over the last two to three years it has all been us versus what we view as the sellers unrealistic expectations which haven’t been bridged yet.
Tom Spiro- Spiro Capital Management, Inc.: Have these tended to be company’s in trouble, small shops in trouble, or are they healthy, thriving operations?
Robert Gross: Some are in trouble, some are still profitable, but less profitable than they would be and a lot of times in some of the 20-30 store chains what you have is a business that has been in the family for fifty or sixty years. The father started it, the guy currently running it no children to take it over, but they have started with owning their real estate. So they started sixty years ago with one property, owned the real estate, of the twenty or thirty stores they might own half of the locations, and where the disjoint sometimes is, forgetting about the emotional aspects of selling your home or business that has been in the family is they are stuck with the real estate costs under-burdening their business with the rent they charge versus what they could achieve if they just held the real estate and just leased the property. So there is some confusion in what the cash flow is and what the business is really producing. We run into trouble because their professionals either are not explaining it well enough or are not motivated to explain it well enough that they are missing the boat that they can keep the real estate, and make a million dollars straight profit on the real estate but combined they are only making $500,000 and they don’t realize that what they have is a business that is losing money and is deteriorating to the extent that until they go into negative cash flow they don’t get it quite as well.
Tom Spiro- Spiro Capital Management Inc.: Lastly, on the subject of co-op advertising. Can you tell me how large of a dollar amount that was with the fiscal year now over? Like a ballpark number?
Robert Gross: No.
Tom Spiro- Spiro Capital Management Inc.: Is it available on all product lines, brakes, tires, etc.? Does it vary with your volumes?
Robert Gross: It absolutely is volume generated. The recognition of co-op is tied to inventory turns and certainly it is netted to tie-out to the advertising percentage which we certainly be willing to give; we can’t break down but a lot of times in a given category there is one vendor and it would become apparent what these numbers are and we think we treat our vendors very well and are one of the few guys that are growing the business and certainly wouldn’t want us to share our cost structure with our competitors and I am sure they don’t want us comparing with all of their other customers what they might be doing for us.
Tom Spiro- Spiro Capital Management, Inc.: For a given level of volume, does the percentage or the dollar amount change, for example when you budget for fiscal 09’, if you assume your volume in brakes for example, can you get comfort that co-op advertising rebate associated with that is going to be why?
Robert Gross: Absolutely.
Operator: Your next question comes from Jack Balos from Midwood Research.
Jack Balos- Midwood Research: I wanted to get a little more clarification on the change in the advertising. Because of the [inaudible] and its net ads at the same time I think you said you increased direct mail drop. I am not clear as to whether the percentage that you spent of 80% for direct mail, has that gone down?
Robert Gross: Yes, not significantly, you are not going to see us at 60%. Maybe we are at 75% now. We increased direct mail in various markets where direct mail works very well. We have added some radio in markets where we have a lot of density and radio is cheap and in a lot of markets we added some internet advertising and buying keywords and things in markets that have high internet usage to see how that might serve us. We are never going to get away from direct mail. We think it is a huge competitive advantage based on our database and our systems. That being said, we think there are also pockets of things we can do smart. The degree to which advertising increased was from about 3.3% to 3.7% in total.
Jack Balos- Midwood Research: Is the area that ProCare is in, are they benefitting from the advertising that is new for that area?
Robert Gross: Well, I think new for that area, but remember what we said last year. Part of the problem is, we needed to replace a bunch of people, we needed to do a complete name change which we didn’t really intend to do, and until you get your operations running well you don’t invest in advertising to drive customers. We held back on advertising in a lot of areas that it would behoove us to advertise a new name and a new entrance into a marketplace but you don’t want to spend money driving new customers to an operation that you don’t think is delivering the kind of service to the customer that you want. We said that we tried some things in November, we think our operations are under control there and running better and now I think are fairly comfortable with a 9.7 in April, a 5.5 in May, in a tough marketplace that some of the advertising that they have seen for two months back to back for the first time in two years is hopefully benefitting, but as you know Jack, two months is not a trend. It is a good feeling right now.
Jack Balos- Midwood Research: The important thing I think from what you are saying is that operationally speaking in terms of management and operations and systems that you are where you want to be with ProCare?
Robert Gross:
Jack Balos- Midwood Research: So you have the operations performing like they should be, so therefore you can advertise and be comfortable that the customer coming in will get a good experience?
Robert Gross: Correct.
Operator: The last question comes from Mark Cooper with Wells Capital. Please go ahead.
Mark Cooper- Wells Capital: Did you say that your cash flow from operations for the year was $37 million?
Catherine D’Amico: Yes.
Mark Cooper- Wells Capital: Does that mean that for March it was $0.? I calculated that for the first nine months.
Catherine D’Amico: Q4 is our softest quarter. I don’t have the 10Q in front of me. You have the other 10Q for December. It is just the line cash flow from operations. It could have been flat with March, yes. March was a tough quarter and we had one less week and the pluses and minuses could have netted to $0.00. I don’t think that is necessarily true. We paid down a lot of debt for six months, and then the next six months it started pretty flat in terms of cash available. The first two quarters are out strongest quarters.
Mark Cooper- Wells Capital: I understand that, I am just looking at that line that you just cited cash flow from operations, I don’t think I have ever seen a company report less than $5 million in any given quarter, so it just surprised me a little bit. At least that is what the 10Qs say.
Catherine D’Amico: It is the year-to-date. I can get back with you if you want after the call and once I have the other Q in front of me.
Mark Cooper- Wells Capital: Sure, that would be fine. And the CapEx number is approximately $8 million, is that right?
Catherine D’Amico: Yes.
Operator: At this time I would like to turn the call back over to management for closing remarks. Please go ahead.
Robert Gross: Thanks everyone for your continued support of the company. We are working hard to work our way through a difficult period and are encouraged about where we are and how we are performing and will continue to strive to make April and May repeat themselves throughout the year. We look forward to talking to you again with an update in July. Thank you.